Operator: Good day, ladies and gentlemen. And welcome to the Tutor Perini Corporation Fourth Quarter and Full Year 2018 Earnings Conference Call. My name is Sherri, and I will be your coordinator for today. At this time all participants are in a listen-only mode. Following management’s prepared remarks, we will be opening the call for a question-and-answer session. As a reminder this conference call is being recorded for replay purposes. [Operator Instructions] I will now turn the conference over to your host for today, Mr. Jorge Casado, Vice President of Investor Relations. Please proceed.
Jorge Casado: Hello, everyone, and thank you for joining us today. With us on the call are Ronald Tutor, Chairman and CEO; and Gary Smalley, Executive Vice President and CFO. Before we discuss our results, I will remind everyone that during today’s call we will be making forward-looking statements, which reflects management’s current assessment of existing trends and information. There is an inherent risk that our actual results could differ materially. You can find our disclosures about risk factors that could potentially contribute to such differences in our 10-K, which we are filing today. The company assumes no obligation to update forward-looking statements whether as a result of the new information, future events or otherwise, other than as required by law. With that said, I will turn the call over to Ronald Tutor.
Ronald Tutor: Thanks Jorge. Good afternoon and thank you for joining us. We delivered excellent fourth quarter results highlighted by strong operating margins across all segments, particularly improved performance in the Specialty Contractors segment and a very large volume of new awards that enabled us to grow our backlog by 28% year-over-year setting a new record of $9.3 billion. Further we added $2 billion of new awards in the fourth quarter and a total of $6.5 billion of new awards for the entire year resulting in a book to burn ratio of 1.45. Our strong backlog growth in the fourth quarter was broad based across all three segments and was driven in particular by the $800 million Minneapolis Southwest Light Rail project, $245 million of funding for a technology project in California, $244 million of various electrical and mechanical projects in New York City and $100 million military facility for the air force in Saudi Arabia. In addition, we generated solid operating cash of $56 million in the fourth quarter. The outlook for continued backlog growth in 2019 is excellent, as we expect to and in fact our booking over $2.5 billion of identified awards during the first quarter of 2019. The largest of these is the $1.4 billion Purple Line Section 3 Stations Project which connects to the already awarded Purple Line 3 Tunnels Project which we received last year and that goes to the Board for final approval tomorrow which will be routinely processed. In addition, we see a sustained high level of demand in the pipeline of large Civil works projects. Our growing backlog provides the foundation upon which I expect to deliver revenue growth and increased earnings over the next three years to five years. We continue to be selective and disciplined in our bidding approach. As I have said previously, there are significantly more major Civil works projects hitting the bid pipeline, then we have the physical ability demand, the computation is limited at best, so we are selectively choosing those projects that give us the best opportunity to succeed. As I have said previously quite frankly, there are so few companies with the resources and experience to successfully undertake these projects that it’s an interesting phenomenon facing the Civil works industry today and we have both the track record and the reputation of successfully executing these projects. We will be bidding in the next 60 days the $400 million 8th Avenue Train Control Project similar to the Culver Line we were awarded a $250 million earlier this year. Both projects are a part of the major works that New York City Transit continues to undertake to modify their antiquated signal systems throughout the entire transit system. If that were not enough in New York, we were recently apprised of the Mayor of New York City committing to a $52 billion infrastructure refurbishment program that will take place over the next four years. Further, other large upcoming Civil bids that we are committed to bid within our organization are the $3.5 billion bus depot for the Port Authority of New York and New Jersey in downtown Manhattan, the $2 billion Brooklyn-Queens Expressway in New York City, the $1.4 billion Portal Swing Bridge replacement in New Jersey and $1.5 billion -- there are two feeder lines one each at LaGuardia and at New York. They are called people movers. They are $1.5 billion each and those will also hit the street I believe by the end of 2014. Since the Civil opportunity is far outweigh our capacity, we will have to be selective in those we pursue. The Building segments larger opportunities include two convention center projects, one in Los Angeles, another in Las Vegas collectively valued at $1.2 billion, a $700 million airport cargo facility called the Air -- Airglades Perishable Air Cargo Complex and a $300 million project in Miami. There is a $300 million Los Angeles Civic Center P3 and a $250 million healthcare project in California. More importantly, the Building segment has already $1 billion of pending awards that we expect enter into backlog in 2019, including the Choctaw Resort and Casino expansion and two other hospitality and gaming projects. Specialty Contractors segment is in the process of bidding over $500 million of mechanical and electrical projects in the next two months to three months and the bidding pipeline is robust to a point of again testing our capacities in that arena. Next I will provide some details on the more significant projects that contributed to our fourth quarter results beginning with the Civil segment. On the West Coast, we continue to ramp up our work on Purple Line Section 2 in Los Angeles, with the construction of the tunnel launch pit commencing in Century City, after it’s completed we will begin the tunnel boring machine assemblies followed by the start of tunneling in January. In Beverly Hills we are beginning the relocation of utilities in advance of commencing with the Wilshire Station in Beverly Hills later this year. In British Columbia Frontier-Kemper is progressing work on the Kemano second tunnel project. We also remain busy with work on California high speed rail and are still anticipating volume of work increasing substantially by this summer. Work also continues to progress on the San Francisco Central Subway project with a targeted completion in the first half of 2019. In the Midwest under construction has been active with its work on the I-74 Bridge project between Iowa and Illinois, as well as many other projects contributing to their significant backlog and is starting work on the Minneapolis light rail. In the north east which is essentially New York our most active projects include CMO7 and CQ33 for New York transit and of course the $1.4 billion Newark Airport Terminal One which is advancing well. In Seattle we completed the SR99 tunnel last year and it has been turned over and traffic is using a completed tunnel. The buildings project’s largest contributors in the fourth quarter and included that technology campus that we don’t refer to the owner of the Rosewood Miramar Beach Hotel for Caruso Enterprises, the Newark Airport Terminal One in New Jersey for the Port Authority in New York and the Precision Cancer Medical Building at the University of California, San Francisco Medical Center. Especially Contractor segment has a substantial volume of newer higher margin work being performed over the next period of years. Recall that on Newark Airport Terminal One project Five Star Electric and WDF Mechanical Hold contracts exceeding $360 million for the electrical and mechanical pieces of that $1.4 billion project. In addition, they have added 244 million of new electrical and mechanical projects in the fourth quarter, positioning our segment for double-digit revenue growth in 2019. Now let me provide you with a brief update on our unbilled receivables and claims. We continue in negotiations on three major claims, have received significant offers on two of them, although, not adequate. We continue to talk, we hope to bring those to conclusion over the next 90 days, but we have not been able to conclude any of the yet. We believe that with the continued progress in these negotiations we have the potential to settle in the next half a year. Overall, we anticipate strong double-digit revenue growth and higher operating margins across all segments, with noteworthy margin improvement expected in the special -- Specialty Contractors segment and margin improvements in the Civil and Building segments. Based on our current backlog and forecast we are establishing our earnings per share guidance for 2019 in the range of $2 and -- to $2.30. As in 2018, we expect that our earnings in ‘19 will be significantly weighted toward the second half of the year particularly due to the extreme weather we have suffered across the country in the first quarter. With that, I will turn the call over to Gary Smalley to present the financial results.
Gary Smalley: Thank you, Ron. Good afternoon, everyone. I will start by discussing our results for the year after which I will review the fourth quarter. I will then provide some comments on our balance sheet, cash flow and our 2019 guidance assumptions. Revenue for 2018 was $4.5 billion, down slightly compared to last year, mainly because revenue from new projects that started up in 2018 did not fully replace revenue from projects that completed or were nearing completion solely due to timing. Civil segment revenue was $1.6 billion, Building segment revenue was $1.9 billion and Specialty Contractors revenue was $1 billion. All down compared to the prior year, again due to the timing of revenue burn for new work. Gross margin for 2018 was 10.2%, the highest annual gross margin percentage since 2014. G&A for the year was $263 million, down modestly compared to last year, mainly due to lower compensation related expenses. Our income from construction operations was $192 million, up 7% compared to 2017, despite the volume reduction, due to improved margins in our Specialty and Building groups and the lower G&A that I mentioned. Civil segment income from construction operations was $168 million, down 12% compared to 2017, principally due to a $17.8 million pretax charge in the first quarter of 2018 for the unexpected adverse outcome of an arbitration decision on a project that was completed several years ago. The segment’s operating margin was 10.6% for the year, compared to 12% for the prior year, with the decrease primarily due to the 2018 first quarter charge. Building segment income from construction operations was $44 million, up 28% despite a modest revenue reduction, mainly due to contributions from the Newark Airport Terminal One project and a favorable close out adjustment on a courthouse project in California. The Building segments operating margin was 2.4% for 2018, up from 1.8% in 2017. Specialty Contractors income from construction operations was $43 million more than double last year’s result, mainly due to the overall improvement in the performance of various mechanical projects. As a result of these factors, the segment’s operating margin was 4.3% for 2018, a significant improvement compared to 1.6% in 2017. Recall that we target an operating margin range of 5% to 7% for the segment which we expect to achieve in 2019. Other income in 2018 was $4 million, compared to $44 million in 2017. The significantly larger amount last year was primarily due to a $37 million gain associated with a legal settlement. Interest expense in 2018 was $64 million, compared to $69 million in the prior year. The reduction was primarily because of non-cash extinguishment cost recognized in 2017 related to our debt restructuring transactions. Our effective tax rate for 2018 was 26.3%, positively impacted by the lower federal statutory rate with the enactment of the Tax Cuts and Jobs Act. Debt income attributable to Tutor Perini in 2018 was $83 million or $1.66 per diluted share exceeding the upper end of our revised guidance for the year. Net income in 2017 was $148 million or $2.92 per diluted share and was favorably impacted by tax benefit of $53 million or a $1.05 per diluted share associated with the one-time revaluation of our deferred tax assets and liabilities and connection with the Tax Act. The prior year also benefited from the pre-tax gain of $37 million or $0.43 per share for the legal settlement that I just mentioned. Now for the fourth quarter results. Revenue for the quarter was $1.2 billion level compared to the fourth quarter of last year. Segment revenues were $489 million for Civil, $469 million for Building and $225 million for Specialty. Civil segment revenue is up 14% compared to the fourth quarter of last year, primarily as a result of progress on the Newark Airport Terminal One project, which started in 2018 and increased activities on the Kemano Tunnel Project in British Columbia. Building segment revenue was up modestly compared to the fourth quarter of last year, as progress on newer projects more than offset volume reductions from projects that completed or are winding down. Specialty Contractors revenue was down 26% compared to the fourth quarter of 2017, mainly due to reduced activities on certain electrical projects in California, Washington and New York. Gross profit for the fourth quarter of 2018 was $158 million, up 21% compared to the fourth quarter of last year with the corresponding gross margin of 13.3%, our highest quarterly gross margin ever and this compares to 10.9% for the comparable quarter of 2017. G&A for the fourth quarter was $67 million, down 6% compared to the fourth quarter of 2017. The decrease was principally due to reduced compensation related expenses. Income from construction operations for the fourth quarter was $91 million up $53 million, excuse me, up 53% compared to $59 million for the fourth quarter of last year due to strong margin improvement across all segments. Civil segment income from construction operations was $75 million in the fourth quarter, up 17% compared to the same quarter of last year due to the higher volume in the quarter and improving operating margin 15.3% versus 14.9%. The stronger operating margin was due to favorable progress and productivity experience in the quarter on a broad range of projects. And as discussed previously, we have been anticipating operating margins to gradually increase with the new work that we have been awarded over last year and this is beginning to be reflected in our results. However, I would note that while we are pleased with the strong fourth quarter Civil margin we don’t expect a 15% margin to be the norm at least not yet. On an annual basis we now expect Civil operating margins to be at the upper end of the 10% to 12% margin range that we have historically seen in Civil group if not slightly higher. Building segment income from construction operations was $16 million up 76%, compared to $9 million in the fourth quarter of last year. The increase was largely due to contributions from the Newark Airport Terminal One project and a technology project in California, as well as favorable adjustments associated with the close out of a courthouse project in California and progress toward completion on a health care project also in California. These factors are resulted in somewhat elevated operating margin of 3.4% for the quarter, compared to 2% for the fourth quarter of 2017. Specialty Contractors segment income from construction operations was $17 million more than quadruple the $4 million reported in fourth quarter of last year reflecting overall improved performance on various mechanical projects, as well as favorable adjustments associated with progress toward completion on certain electrical and mechanical projects. The segment’s fourth quarter operating margin was strong at 7.6%, compared to 1.2% for the same quarter last year and exceeded the 5% to 7% range we target for the segment. Contributions from higher margin projects added to backlog over the past year are now beginning to have a positive impact on the Specialty segments operating results. Interest expense for the fourth quarter of 2018 was $60 million about level with the prior year’s fourth quarter. Tax expense for the fourth quarter was $20 million. Effective tax rate for the quarter was 26.3%, the same effective tax rate as for the full year of 2018. Net income attributable to Tutor Perini for the fourth quarter was $49 million or $0.98 per diluted share compared to $81 million or a $1.60 per diluted share for the fourth quarter of last year, which again included the $53 million or a $1.05 per share tax benefit. Shifting gears, let’s discuss our balance sheet and operating cash. Our project working capital grew slightly in the fourth quarter principally because of an increase in unbilled cost and the decrease in billings in excess of costs. We continue our focus on reducing our unbilled costs and expect more progress to be made in 2019 as Ron noted earlier. We generated $56 million of operating cash in fourth quarter and $21 million for the full-year of 2018. While our fourth quarter operating cash was strong as a result of strong collections, the amount generated in the quarter was insufficient to overcome the cumulative shortfall for the year that resulted from the growth in unbilled costs. However, we believe that our operating cash generation in 2019 will be substantially improved and we are again targeting operating cash for the year to be in excess of net income as it was in both 2016 and 2017. Our total debt as of December 31, 2018 was $762 million, compared to $736 million at the end of 2017, reflecting the modest increase in the revolver from its zero balance at the end of 2017. Now, let me review our assumptions related to the 2019 guidance. While we do not provide specific revenue guidance, as Ron mentioned, we are expecting strong double digit revenue growth in 2019. Also as I noted earlier, we anticipate that the Civil segment’s operating margin for 2019 will be at the upper end of our historical range of 10% to 12%. The Building segments operating margin for 2019 should exceed 2% which has been our normal benchmark. For the Specialty Contractors segment, we believe that the operating margin should be in the 5% to 7% range in 2019. We anticipate an effective tax rate for 2019 of approximately 27% at 28%. We also expect that there will be approximately 51 million diluted shares outstanding for the year. Interest expense for 2019 is estimated to be around $63 million and of this amount $13 million will be non-cash. We anticipate approximately $20 million of general and maintenance capital expenditures for 2019. In addition keep in mind that for certain of our large Civil projects we purchase equipment that is entirely owner funded. 2019 we estimate that this amount will be approximately $70 million. Depreciation, amortization expense for 2019 is estimated at $62 million. We expect that our G&A dollars will be modestly higher in 2019 compared to last year. But given our strong anticipated revenue growth our G&A margin for 2019 should be quite a bit lower in than in 2018. We also anticipate that non-controlling interest in 2019 will be approximately $30 million to $35 million. Lastly I’d like to comment as to the expected pace of earnings generation in 2019. We expect that our first quarter EPS will be rather light and far lower than the other quarters in 2019. Due to the significantly worse weather more rain and snow than usual to date in California, British Columbia, the mid -- Midwest and New York and also due to the timing of when new projects will begin to burn revenue of any significance. More specifically our forecast calls for first quarter EPS to be only slightly better than last year’s first quarter EPS after adjusting for the $0.25 charge we took last year. Earnings momentum in 2018 -- earnings momentum in 2019, however, is expected to increase substantially each quarter as the year progresses. With that Ron, I will turn the call back over to you.
Ronald Tutor: Thanks, Gary. Obviously, I am very pleased with our strong fourth quarter performance particularly with respect to the record backlog that continued through the first quarter of 2019 with the additional awards. In addition, the continuing pipeline of major work I discussed previously continues to grow with owners in locations where we have great strength with very little competition to put it bluntly. There is no reason our backlog should not continue to grow in 2019 and the only thing that stops the momentum will be our own analysis of our intellectual and physical capacity. As I have said before evidenced everyday by the minimum competition in the billion dollar plus projects. There are very few companies in the United States that can successfully build a billion dollar plus infrastructure projects and as in such there are very few bidders as we go forward. We continue to recruit and focus on adding to our organization and training engineers in our training programs. But I would be definite to once again state that is the one governing factor that will limit our growth to what we feel comfortable with. As a reminder, the projected margins on our new awards from last year in the backlog on average are considerably higher than the existing margins that we have earned over the past years and we expect that margin to increase, as frankly, we raise our margins given the lack of competition. So, overtime, as the older work with lesser margin burns off and is replaced by higher margin new work at an accelerated pace, we feel there is an opportunity for significant increases in both operating income and earnings per share. We will look forward to delivering improved results in 2019. Some results of course of our unbilled receivables and continued earnings growth as well as operating cash. With that, I will turn the call over to the operator for questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is from Tahira Afzal with KeyBanc Capital Markets. Please proceed with your question.
Unidentified Analyst: Hey, guys. This is Alex [inaudible] on for Tahira. Congrats on the quarter guys.
Ronald Tutor: Thanks.
Gary Smalley: Thanks, Alex.
Unidentified Analyst: So I guess my first question is based on your range of guidance and things you have mentioned. What areas do you guys having the most visibility or concerns on what may help you reach the upper end of guidance? Are there any issues in segments or any specific projects you would like to highlight in 2019?
Ronald Tutor: No. I don’t think there’s -- it’s Ron Tutor. I don’t think there’s any question we have an opportunity to reach the higher levels of our guidance, but it will depend to a great extent we were in the midst of negotiations on three of our major claims where significant offers have been made. We have not accepted those because it does not meet our expectations. And one of the concerns and probably the only real concern I have is, if we reach a point to where it’s close to what we want and there is a few million dollars separating their final offer with our final demand. There is no question that we are going to have to start settling and collecting that cash, which could generate some write-downs in operating margins. I think we have taken those into consideration within the range of these expectations. But we have a very substantial as I have said before number of claims teed up in negotiations and we feel the potential to be concluded in 2019 and the real issue will be very candidly whether I am willing to take a reduction in what we believe we are entitled to, to close them out and collect what is obviously a very substantial amount of cash. So if I have one concern that’s about it. We continue to frankly get one major Civil award after another in our key markets in New York which is exploding in California which is equally. So if I really put down on paper, the opportunities that are tailor made for our Civil group between our two strengths in New York and California, I don’t even know how we could possibly even handle it. There are so many major projects staying up for the next 12 months to 18 months in an industry where nobody’s left. I keep saying it, but the truth is in the pudding. We have now got three straight large projects for the MTA, a $1,400 million tunnel and a $1 billion for a station. Three straight contracts the total $3 billion for the LAMTA, $1,400 million job in Newark where we are the only bidder. And as I advised our owners, if you don’t make these contracts far more contractor friendly you are not going to get bids even including us. And the fact of the matter is an owner today is fortunate if he gets two bids and really extraordinary if he gets three. So that’s the market we are in. Having said that, we still have our limits physically and intellectually about how much more we can take, even regardless of the margins entailed within them.
Gary Smalley: And, Alex if I could just add I think you understands this but our accounting positions where were recorded at the probable amount of recovery. But like Ron’s saying, if we get close to what we are looking for rather than prolong the dispute in with litigation or something like that where we could get the amount that’s recorded and take another two years or three years to get it. That’s the -- that’s what we are talking about in this case.
Unidentified Analyst: Okay. Thanks. That was helpful. Also, so we continue to monitor the possibility of a large infrastructure bill this year in Washington. Are you hearing anything new on this and if a bill like this gets passed, where do you see the spending going and in what areas of your business would most likely have the opportunity to benefit from this?
Ronald Tutor: I think, there’s no question that they are going to have to constitute an infrastructure bill in Washington because the Democrats and Republicans it seems to be the only thing they agree on. However, setting aside Washington, the truth of the matter is New York State which is one of our two major geographical places of operation just announced $52 billion in New York City of funded work. All of our New York City operations are working at 120% of capacity electrical, mechanical, Building, and Civil and with the reduction in size of Skanska, our largest competitor in New York and the failures of some of our New York peers, we find ourselves increasing and increasing at New York backlog to a point I have had all of our subsidiaries have to get my approval before they been any more work, because our backlogs in New York are at records, both electrically, mechanically, and civilly. So the real -- when you talk about government and government funding frankly the only thing we are interested in is Civil work. The Building business continues to be a low margin relatively low -- lower risk and a business that in my opinion increase government spending doesn’t affect us because we are simply not going to pursue significant growth in a business that at best generates 2% pre-tax margins when in fact our Civil business we are anticipating 10% to 12%and potentially increases in that because of the lack of competition. New York City has this enormous backlog. Governor Cuomo has stated for everyone here that he expects to generate even more in infrastructure construction in the state and New York City. And California is booming, we meet regularly with the principals of Los Angeles MTA and with that sales tax proposition had passed, they are talking about $10 billion in Civil work going out into the marketplace over the next 12 months to 15 months and there isn’t two or three companies that even have the potential to bid it. So it is really quite an interesting time of enormous growth in opportunities in a depleted industry.
Unidentified Analyst: Thanks. That’s very helpful. I will jump back in the queue.
Operator: Our next question is from Brent Thielman with D. A. Davidson. Please proceed with your question.
Brent Thielman: Great. Thank you. Congrats on the quarter.
Ronald Tutor: Thanks, Brent.
Brent Thielman: Hey, Ron. On the outlook for ‘19, can you just remind us or walk us through which are going to be the most kind of critical projects ramping up in the second half to kind of get you that guidance range?
Ronald Tutor: I think the newer terminal is ramping up significantly. We are erecting structural steel, as we speak. I would expect the steel to be fully erected by sometime in the third quarter and then finished trades in significantly more cost associated with that terminal. And remember it’s a 39 months job and we are there now approximately 10 months. So you have got over a $1,200 million of spend going on over the next essentially 24 months. Not only that Purple Line 2 is ramping up dramatically. We will start the Wilshire/Rodeo station this year. We are finishing the launch bid this year. We expect to put the tunnel machines in the hole. So that will be a significant ramp up. Purple Line 3 will be awarded tomorrow. We probably won’t get a notice to proceed until April or May. But initially this year there’s still $100 million of high margin costs associated with Purple Line 3. In addition, the Lunda job at the Light Rail has started that should generate revenue and essentially Five-Star, Fisk and WDF have the largest backlogs they have ever had as an example in Purple Line 3, we were awarded the contract at approximately $1.371 billion and of that we subcontracted over $250 million to Fisk Electric, Beko drilling and Desert Mechanical with their appropriate margins. So these jobs have a profound impact on our operation as long as we can get them from the design phase into the construction phase and generate the cost that make for the profits. So we are just very optimistic about what the future commencing really now has in store. The only thing that by -- that concerns me at all is reaching a point where is it in our interest to take settlements and write downs on claim settlements generating significant levels of cash. However, taking reductions in settlements. Here to in the past we have never done it and have a record of always achieving our booked amounts but then again we have never had a $1 billion in unbilled receivables. So that’s really the only pressure on us. We continue to operate strongly in spite of the unbilled receivables. We think Purple line 3 will ask Purple line 2 to generate significant cash flow, Newark continues to generate substantial cash flow and high speed rail with all its problems and delays continues to promise to be a very successful project.
Brent Thielman: Okay. And I want to touch on that Ron. Can you kind of update us where high speed rail is at this point, is that you would be on the right of way issues here and is that kind of free and clear once you get some weather in your favor?
Ronald Tutor: Well, high speed rail is a constant dilemma and I am in touch literally on a weekly basis with the principals of the agency in Sacramento as well as the job site. We continue to have delays in the right of way and third-party agreements that they have taken responsibility for and their commitments to turn us loose in March, now look like more like June or July. However, I am also in the midst of negotiations on over $400 million of extra work that they would like us to perform. So obviously those are very positive. I have said and they have concurred that we will not start any extra work without an agreed entitled change order and an agreed price. So there are very positive aspects of high speed rail. The negative is we are stymied in many areas continue to be and I expect to have a meeting in the next two weeks and try to get in some manner determine when we can gear back up, because although they are State Agency they continue to struggle to do their job and their job is defined by our contractors to get there right away is out of the way get the third party agreements out of the way and get out of our way the way the contract states they would. So it’s just a struggle. But in fairness they deal with us with integrity. They pay us when they owe us. They step up. So it’s just a continuing travail that we think in the long run will turn out well. But in the short run it’s very difficult, because we can’t earn money on cost we don’t spend.
Brent Thielman: Okay. I appreciate that color. And maybe just…
Ronald Tutor: And I will say -- one thing I’d add on high speed rail, there’s a lot of talk about are they going to go on, is it going to continue, will they ever finish it? The reality is you got to remember it’s a State of California Agency and no matter what the federal government does it pulls back, it doesn’t pull back. First, there’s never been an instance in my 50 years of consequence that the federal government ever clawed back or was able to claw back committed funds. So my sense is this is blunt, this is rhetoric from our President and against the political direction of our state and it will be determined whether or not that realistically can be done irrespective of what can be done or not. This is the State of California which is like a country on its own. The state will step up and fund to any gaps and fight with the federal government later. They have made it very clear that they are not going to go any further than connecting our job to Merced and there’s a short reach connecting to downtown Bakersfield on the other end. Their goal is to finish this work by 2025, which is particularly emphasized on the contracts behind those. But that means they have got to conclude all our extra work, our delays everything associated with making us in agreement all and probably portray a completion of our job in 2021 or 2022. Because remember to complete in 2025 requires them to buy railroad cars, put in track, signals, electrification, et cetera. So they have a plan. They have shared it to me. That’s logical. And then what they would hope is that some time during that timeframe to put it bluntly create more credibility for the agency’s operation, go back to Sacramento somewhere around 2025 and hopefully generate a way forward to move on to the next reach. But they really are in no position to abandon a 100 miles of elevated structures and a bank wins in the middle of the state and walk away at that. That’s about the only thing everybody seems to agree on.
Brent Thielman: Okay. Ron I appreciate it. I will pass it on to someone else.
Ronald Tutor: No problem
Operator: [Operator Instructions] Our next question is from Steven Fisher with UBS. Please proceed with your question.
Steven Fisher: Hi, guys.
Ronald Tutor: Hi, Steven.
Steven Fisher: Hey, Ron. Just curious what kind of flexibility do you have within your covenants to take any of those compromise write-downs you were talking about on the claims resolutions?
Ronald Tutor: I don’t think we have any restrictions but better to let Gary answer that specifically.
Gary Smalley: Yeah. First of all, Steve, we are not anticipating large amounts, if any. And then we have a plenty of headroom in the -- within the calculations already where we don’t think it’s an issue. But also we have built in let’s say contingency plan where we have four judgments that go against us and that are non-cash in nature where the cash had already been spent. Then those are excluded from the covenant calculation and we are currently talking about settlements and including those in the same type of consideration in an amendment that’s not yet final. But the bottomline is we don’t think it’s going to impact us even without the amendment based on where the headroom that we currently have and the outcomes that we anticipate. But worst case scenario it still shouldn’t impact us.
Steven Fisher: Okay. That’s helpful. And then can you maybe just give us your confidence that the unbilled will go up from here now in 2019?
Ronald Tutor: Let’s put it this way, it shouldn’t. We are being very harsh on our subsidiaries on the use of unbilled receivables to point or on telling them if you can’t get my personal approval you won’t be able to utilize it. I do allow them to bill their legal and support costs for ongoing unbilled against it. But I don’t know what more we can do other than absolutely restrict access to the unbilled and that’s where we are and it’s a battle every quarter. But the biggest single element is we need to make a very substantial reduction and a very significant amount of our unbilled total as I have said previously and as we reviewed in-house comes due to put it bluntly or I don’t know how else to define it in the next 12 months. So we simply have to get those do resolve to a reasonable settlement figure that’s acceptable and close them and dramatically reduce the unbilled. It can’t continue to go up, I couldn’t agree more.
Steven Fisher: And can you just frame maybe the amount of what was the under discussion for the next 90 days just maybe a kind of a range of possible outcomes?
Ronald Tutor: There is approximately, let me take it. There’s approximately $280 million in various exchanges of offers ongoing right now.
Gary Smalley: And Steve…
Steven Fisher: And say maybe just you give quick…
Gary Smalley: Yeah. Steve, I have just going to say on account, of course, things after the 90 days also there are other things that are staged later in the year that…
Ronald Tutor: That much again before the end of the year. That’s how…
Steven Fisher: Right. That’s what I was going to get…
Ronald Tutor: … actual number we get…
Steven Fisher: I assume SR99 -- SR99 is later this year.
Ronald Tutor: No SR99 isn’t one of those because with all the god damned crooked lawyers appealing and delaying and delaying and appealing so they can generate more legal fees, that’s been put off to 2020.
Steven Fisher: Okay. Congrats on the bookings and I will catch up you guys later.
Ronald Tutor: Thanks Steven.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. I would like to turn the call back over to management for closing remarks.
Ronald Tutor: Thank you everybody. We are very pleased obviously with our continued backlog growth in the future of the company. The only hitch remains us getting through these unbills and bringing the money back to the company. We will continue to work day and night to make that happen and keep you apprised as it takes place. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time and thank you for your participation.